Operator: Thank you for standing by, and welcome to the Textron Fourth Quarter 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Thank you. I'd now like to turn the call over to Scott Hegstrom, Vice President of Investor Relations and Treasurer. You may begin.
Scott Hegstrom: Thanks, Rob, and good morning, everyone. Before we begin, I'd like to mention we will be discussing future estimates and expectations during our call today. These forward-looking statements are subject to various risk factors, which are detailed in our SEC filings, and also in today's press release. On the call today, we have Scott Donnelly, our Executive Chairman, Lisa Atherton, our Chief Executive Officer, and David Rosenberg, our Chief Financial Officer. Our earnings call presentation can be found in the Investor Relations section of our website. With that, I'll turn the call over to Scott.
Scott Donnelly: Thanks, Scott, and good morning, everyone. Textron closed out the year with another solid quarter, driven by significant revenue growth of 16% and segment profit growth of 34%, resulting in an adjusted EPS of $1.73. For the full year, Textron finished the year with revenue growth of 8%, segment profit growth of 14%, resulting in adjusted EPS of $6.10. Looking at the segments, 36% for the fourth quarter and 13% for the full year, reflecting higher aircraft deliveries and increased aftermarket volume as we recovered from the strike in late 2024. In the quarter, we continued to see solid order flow and customer demand across our portfolio, ending the year with $7.7 billion of backlog. In 2025, we delivered 171 jets, up from 151 last year, and 146 commercial turboprops, up from 127 in 2024. Also in the quarter, we continued to upgrade the product portfolio with Citation Ascend, CJ3 Gen 2, and the M2 Gen 2 with auto throttles all receiving FAA certification and beginning deliveries. During 2025, strong aircraft utilization within the Textron Aviation product portfolio resulted in 6% growth in aftermarket revenues. Bell also had a very strong year with revenue up 11% for the fourth quarter, 20% for the full year. With the acceleration of the MV-75 program, 2025 marks Bell's second consecutive year of 20% growth in military revenue. We've talked a lot about accelerating the MV-75 program in 2025. To provide some examples of our progress on this, we've completed over 90% of the engineering drawings, put nearly 2,000 tier one and tier two suppliers on contract, issuing 45,000 purchase orders, opened new manufacturing capacity in Wichita for the fuselage, and Fort Worth for the advanced manufacturing center, the drive systems test lab, and the Weapon Systems Integration Lab. And we've begun manufacturing components for the first six aircraft. So acceleration is not just design work. It's establishing real production capacity as we pull forward production by a couple of years. Earlier this month, we hosted the Secretary of the Army and representatives from the MV-75 program office at our Wichita Assembly Center where we are building the fuselage for the aircraft. During this visit, we were able to demonstrate our production capabilities and progress on the first six aircraft that are currently in work. Across Bell's other sites, we're seeing the results of our prior investments in manufacturing process development, which led to efficient manufacturing of major parts like our wing skins and spars. On the commercial side, Bell continued to see strong order activity in 2025. For the year, Bell delivered 169 commercial helicopters compared to 102 in 2024. Moving to systems, the team also delivered revenue growth for both the quarter and the full year with revenue up 4% in the quarter and slightly up for the full year. The team generated this revenue growth while facing headwinds that it had to overcome, including the challenging comparables resulting from the wind-down of the Shadow program. The Ship to Shore Connector program has proven to be a real strength for the segment. We are now about 15 units into a 73-unit program of record. The program has scaled up and is now running efficiently and has received over $450 million of awards this year. During the quarter, systems received an IDIQ contract valued at $200 million for its ATAC business to provide airborne standoff jamming services to the U.S. Navy and U.S. Marine Corps. This program will support Navy fleet customers with a wide variety of airborne threat simulation capabilities to train, test, and evaluate shipboard and aircraft weapon systems. At Industrial, the segment ended in a positive year with a positive organic growth of about 1% in the fourth quarter after streamlining the portfolio with the divestiture of the powersports business. In summary, 2025 was a strong year for Textron. We continue to execute on our growth strategy of ongoing investments in new products and programs, drive organic growth and margin expansion. As we wrap up 2025, this will be my last earnings call. I want to express my thanks for all your support over the years. I feel very good about where the business stands, the team that we have in place, and the leadership that Lisa brings to the table. With that, I'll hand it off to her to talk about the business more broadly and our plans for 2026.
Lisa Atherton: Thanks, Scott. And I want to extend my sincere gratitude for your exceptional leadership and your commitment to Textron over the years. And on behalf of the entire team, thank you for your many contributions and the lasting legacy that you leave. We wish you all the very best. For those of you that may not know me, I graduated from the United States Air Force Academy. I was a contract officer and then a civilian contractor at the Director of Requirements at Air Combat Command. I left ACC in 2007 and joined Textron, holding various leadership positions within Textron Systems and Bell. I was fortunate enough to spend several years leading systems before my last position as CEO of Bell. In these roles, I led numerous development and program activities, including the Future Long Range Assault Aircraft, now the MV-75 program. When we look across Textron, I am very excited for the opportunities that lie ahead. Textron Aviation, our largest segment, is a clear leader in general aviation, with its Cessna and Beechcraft brands. It has a great product lineup, an unmatched installed base driving a powerful aftermarket business, and world-class customers. 2025 was a very strong year for aviation, and the business is well-positioned for the future. In addition to our successful certification efforts, we continue to progress on the Beechcraft Denali development program. The Denali finished the year having logged over 3,200 hours of flight testing. On the defense side, Textron Aviation entered a contract to deliver the first two Beechcraft T-6 to Japan's Air Self Defense Force, with additional contracts anticipated. Deliveries of the two aircraft are scheduled for 2029. From a market perspective, the general aviation industry is very healthy. The business has nearly an $8 billion backlog, and we continue to experience strong order flow. As a result of the team's continued product innovation and operational execution, we remain at the forefront of the industry. Turning to Bell, the MV-75 program continues to be a great success story. What began as internal research and development and turned into the V-280 Joint Multi-Role Technology Demonstrator program is now a core component of the Army's transformation initiative. Over the last year, we have worked closely with the Army as they accelerate the program. Bell is now poised to begin testing on the first unit later this year, deliver EMD articles throughout 2027, and then transition into LRIP deliveries in 2028. Our military opportunities are not limited to just the MV-75 program. Earlier this month, Bell was notified of its selection to proceed to the next phase of the Flight School Next competition. This would be a new program to train Army aviators at Fort Rucker. This opportunity leverages our 505 helicopter and our expertise in flight training, where Bell currently trains nearly 2,000 pilots per year at the Bell Training Academy. Of our long-term investment strategy, our defense and commercial product mix, and our agility in adapting to and embracing acceleration with a wartime footing mentality, I think Textron is demonstrating the characteristics valued by the Department of War in support of the arsenal of freedom. As I mentioned, I previously ran Textron Systems as well and believe that this business has long been one of the cool kids in the defense industry. We developed and have been flying unmanned systems for over 25 years, with more than 2 million flight hours on our platforms. We developed our first unmanned surface vehicle in 2007. We have manufactured and fielded high-temperature materials that operate in hypersonic environments dating back to the 1960s. We are currently on Mars as part of the Perseverance rover. Our technology is being utilized on the heat shield for Orion as it prepares to travel to the moon. And we are developing the reentry vehicle system for Sentinel, as well as working on various other hypersonic applications. We are also ramping our land offerings in support of Ukraine with our MSF platform, which is part of the Commando family, and continuing development on major opportunities like the Armed Reconnaissance Vehicle and the XM-30. We also have proven commercial business models that have demonstrated across multiple platforms, including Arison and ATAC, that are directly applicable to opportunities like Flight School Next. Thanks to our leading-edge capabilities and recent program wins, Textron Systems is well-positioned to drive future growth. Moving to industrial, the teams at Kautex and TSV have done a good job executing and dealing with challenging end markets. At Kautex, the hybrid volumes continue to grow, and due to our investments in the Pentatonic offerings, we are gaining more exposure to pure electric vehicles. In fact, the Pentatonic offerings present the opportunity for both fuel tank and battery enclosure revenue on hybrid platforms. At TSV, the team continues to introduce new products and work to address the cost structure. For example, TSV rolled out the Cushman Hauler XL with larger hauling capacity, and at EZ-GO, our PACE technology is expanding beyond golf into new markets. Before we move to the outlook for 2026, I want to highlight that our $14.8 billion of revenue in 2025 is the highest we have ever had as a company. In 2026, we're projecting revenues of about $15.5 billion, up about 4.5% from 2025. Textron's 2026 fiscal year. We are projecting adjusted EPS in the range of $6.40 to $6.60. Manufacturing cash flow before pension contributions is expected to be in the range of $700 million to $800 million. This cash flow outlook reflects approximately $350 million of higher CapEx and long lead material to support LRIP on the MV-75 program. With that, I'll turn the call over to David to walk you through a recap of 2025 financials and the 2026 outlook.
David Rosenberg: Thank you, Lisa, and good morning, everyone. First, Scott, I would like to echo Lisa's comments and extend my gratitude to you as well. It has been a pleasure working with you over the years. Turning to Slide 5 of the earnings presentation. Revenues in the quarter were $4.2 billion, up 16%, or $562 million from last year's fourth quarter. Segment profit in the quarter was $380 million, up 34%, or $97 million from 2024. During this year's fourth quarter, adjusted income from continuing operations was $1.73 per share compared to $1.34 per share in last year's fourth quarter. Manufacturing cash flow before pension contributions totaled $510 million in the quarter, up $204 million from last year's fourth quarter. For the full year, revenues were $14.8 billion, up 8%, or $1.1 billion from last year. In 2025, segment profit was $1.4 billion, up 14%, or $163 million from 2024. Adjusted income from continuing operations was $6.10 per share, as compared to $5.48 per share in 2024. Manufacturing cash flow before pension contributions was $969 million, up $277 million from 2024. Now on Slide 6, let's review how each of the segments contributed, starting with Textron Aviation. Revenues at Textron Aviation of $1.7 billion were up $467 million, or 36% from 2024, reflecting higher aircraft revenues of $400 million and higher aftermarket parts and service revenues of $67 million. The increase in aircraft revenues was primarily due to higher volume and mix, largely reflecting higher Citation jet and commercial turboprop volume as we recovered from the strike in 2024. Profit was $208 million in the fourth quarter, up $108 million compared with 2024. Largely due to higher volume and mix. On a full-year basis, Textron Aviation generated revenue of $6 billion, up 13% over the prior year, with $694 million of segment profit, up 23% from 2024. Backlog in the segment ended the year at $7.7 billion. Revenues at Bell of $1.3 billion were up $128 million, or 11% from 2024. The revenue increase in the quarter was driven by higher military revenues of $139 million, primarily due to higher volume on the U.S. Army's MV-75 program, partially offset by lower commercial revenues of $11 million, reflecting the mix of aircraft sold in the period, offset in part by higher pricing. Segment profit of $101 million was down $9 million from a year ago. On a full-year basis, Bell generated revenues of $4.3 billion, up 20% over the prior year, and $363 million of segment profit, down $7 million from 2024. Backlog in the segment ended the year at $7.8 billion, an increase of over $300 million from the prior year, reflecting growth in both military and commercial businesses. At Textron Systems, revenues of $323 million were up $12 million, or 4% from last year's fourth quarter, primarily due to higher volume. Segment profit of $43 million was up $1 million from last year's fourth quarter. On a full-year basis, systems generated revenue of $1.2 billion, up slightly over the prior year, and $175 million of segment profit, up 14% from 2024. Backlog in this segment ended the year at $3.3 billion, an increase of over $700 million from the prior year, related to awards across multiple domains, including ATAC, marine systems, and land systems. Industrial revenues were $821 million, down $48 million from last year's fourth quarter. Textron Specialized Vehicles revenues decreased $69 million, largely reflecting a $72 million impact from the divestiture of the powersports business. Kautex's revenues increased $21 million, or 5%, largely due to a favorable impact from foreign exchange rate fluctuations. On an organic basis, Industrial revenues were up slightly from last year's fourth quarter. Segment profit of $30 million was down $18 million from 2024, largely due to higher selling and administrative costs and lower volume and mix. On a full-year basis, Industrial generated revenue of $3.2 billion, down 9% from the prior year, or down 4% organically, and $145 million of segment profit, down $6 million from 2024. Textron eAviation segment revenues were $7 million in 2025, as compared to $11 million in last year's fourth quarter, and segment loss was $15 million, as compared to a segment loss of $22 million in 2024. On a full-year basis, eAviation generated revenue of $27 million and a segment loss of $63 million. Finance segment revenues were $18 million, and profit was $13 million in 2025, as compared to segment revenues of $11 million and profit of $5 million in 2024. The increase in revenues and segment profit included a $5 million gain on the disposition of non-captive assets in 2025. On a full-year basis, the Finance segment generated revenue of $75 million and segment profit of $49 million. Moving below segment profit, corporate expenses were $44 million, net interest expense for the manufacturing group was $31 million, LIFO inventory provision was $84 million, and intangible asset amortization was $8 million, and the non-service component of pension and postretirement income were $66 million. During the quarter, we repurchased approximately 2.3 million shares, returning $107 million in cash to shareholders. For the full year, we repurchased approximately 10.7 million shares, returning $822 million to shareholders. Turning now to our 2026 outlook on Slide 19. We are expecting adjusted earnings per share to be in the range of $6.40 to $6.60. We are also expecting manufacturing cash flow before pension to be about $700 million to $800 million. As Lisa mentioned in her remarks, this cash flow outlook reflects investing approximately $350 million of higher CapEx and long lead materials to support LRIP on the MV-75 program. Before we move to the segment outlook, as you may recall, Textron is eliminating Textron eAviation as a separate reporting segment, realigning the eAviation business activities across Textron Aviation, Textron Systems, and Corporate to leverage our existing sales, business development, and engineering capabilities. Our segment-level guidance for 2026 reflects this new operating structure. In the earnings presentation that is posted on our website, we recast 2025 so you can see 2025 actuals and 2026 guidance on a comparable basis. Moving to segment outlook on Slide 20, and beginning with Textron Aviation, we're expecting revenues of about $6.5 billion, reflecting growth of approximately 9% over 2025. Segment margin is expected to be in the range of approximately 11% to 12%. The margin range compares to Textron Aviation's 2025 recasted margin of 11.1%. Looking to Bell, we expect revenues of about $4.4 billion, reflecting low single-digit growth over 2025. We're forecasting a margin in a range of about 8% to 9%. As the MV-75 program continues to accelerate, we anticipate that we will be awarded the long lead, low rate initial production or LRIP phase of the contract in late 2026 or early 2027. Upon award of the LRIP option, which is largely fixed price, we expect to record an unfavorable cumulative catch-up program adjustment, reflecting higher costs than originally anticipated when the program was bid in 2021, in the range of $60 million to $110 million. Overall, the MV-75 program will continue to generate a positive margin after the adjustment. In light of the uncertainty of the timing of the award, this has not been reflected in our guidance for the year. At Systems, we're estimating revenues of $1.35 billion, reflecting growth of approximately 7% over 2025. Segment margin is expected to be in a range of approximately 12% to 13%. At Industrial, we're expecting segment revenues of about $3.2 billion. This reflects low single-digit growth when adjusting for the powersports divestment in 2025. Segment margin is expected to be in the range of about 4.5% to 5.5%. At Finance, we are forecasting segment profit of about $20 million. Looking at Slide 21, we're projecting about $180 million of corporate expenses. We're also projecting about $140 million of net interest expense for the manufacturing group, $200 million of LIFO inventory provision, $30 million of intangible asset amortization, and $280 million of non-service pension income. We expect a full-year adjusted effective tax rate of approximately 20.5%. Turning to Slide 22, R&D is expected to be about $480 million, down from $521 million last year. As I mentioned, we are estimating higher CapEx on the MV-75 program, resulting in our 2026 CapEx to be about $650 million, up $383 million from 2025. Our outlook assumes an average share count of about 175 million shares. So for 2026 companywide, we expect to see revenue of approximately $15.5 billion and segment profit of approximately $1.5 billion. All of this rolls up to an adjusted EPS forecast in the range of $6.40 to $6.60. This concludes our prepared remarks. So, operator, we can open the line for questions.
Operator: Thank you. We will now begin the question and answer session. To ask a question, please press 1 on your telephone keypad. If you would like to withdraw your question, simply press 1 again. Your first question comes from the line of Sheila Kahyaoglu. Please go ahead.
Sheila Kahyaoglu: Morning, guys. And, Scott, congratulations on your career and building up Textron and handing the baton over to Lisa. Lisa, congratulations to you as well. Maybe if you could talk about your top priorities for the company now that you're CEO.
Lisa Atherton: Thanks, Sheila. Look, as I outlined in the remarks, we are really starting from a very strong foundation. And so as I look at my priorities, I think about them in three parts. First off, execution. Each business has to deliver on their commitments, with that operational rigor and cash discipline and have the accountability to do so. I have a phrase that's, we have to do what we say we're going to do. And so we're going to hold each business to that. And the second will be a portfolio focus, how we allocate that capital return opportunities across our A&D assets. We have to be very clear about where we lean in and equally clear about where we don't. An example here of how we've been leaning in is on the MV-75 long lead and factory investment to ensure success as the Army pulls that program forward. And lastly, we have to really keep building resilience so that all of our businesses perform well across cycles. And you could think about this as investing in our manufacturability, investing in our supply chain, and really investing in our talent. So that's the what we have to do. I think the how we have to do it is with clarity. We have to very clearly define those execution goals, clearly define our allocation of our capital, and that strategic focus across our business. I think having that rigor is going to result in us continuing to execute reliably while we make clear choices of what we invest in, what we protect, and, frankly, what we don't pursue is equally as important.
Sheila Kahyaoglu: Got it. Thank you for that. And maybe one for Dave. You're guiding to aviation revenues up 9%, but orders were down 3% over the last twelve months. Can you maybe just discuss how the buildup to aviation guidance and the cadence for aviation throughout '26?
David Rosenberg: Sure. So, you know, our overall guide is $6.5 billion, up from $6 billion last year. Obviously, implied in that guide, we expect higher deliveries in 2026, and I would expect a similar aftermarket growth profile of around 6%, just like we had in 2025. When you think about the margin cadence, I think you'll see a similar level of seasonality as we had in 2025. So it'll probably be about 100 to 150 basis points below the midpoint of the guide to start the year. And I'd expect by the end of the year, we'll be one to 150 basis points above the midpoint. And Q2 and Q3 will kind of be in between that.
Sheila Kahyaoglu: Got it. Thank you.
Operator: Your next question comes from the line of Peter Arment from Baird. Your line is open.
Peter Arment: Hey. Thanks. Scott, Lisa, and Dave. Congrats, Lisa. And, Scott, thanks for all the support. I can't believe you leave all these quarterly conference calls. But, anyway, Lisa, how should we be thinking about the MV-75 in the near and medium term just given the Army's push to accelerate this program? And, obviously, you've been intimately involved, and you've probably seen a lot of different versions of what the plans have been. But, you know, how should we think about, you know, the current setup? Thanks.
Lisa Atherton: Yeah. Sure. So, I mean, I think the RA has been crystal clear about their desire to move faster. The mandate that came out from the Secretary and the Chief earlier in 2025 with the Army Transformation Initiative put this program as a centerpiece to what they want to execute for the warfighter in the really very near term. So as we mentioned in the prepared remarks, we had some exponential increase in the tangible output because of them kind of clearing the decks to allow the program team to work. We got the drawing releases out, tooling, we're building parts across the MV aircraft. But equally as important, and you guys know this, sometimes just getting through the process is as cumbersome as building the product. And so the Army has kind of cleared the deck for the program team, and we've seen this at the program office in Huntsville. They have really accelerated the speed of acquisition. And so that has helped us get to a position where we can push these aircraft into testing sooner. And so at a high level, what that does is it pulls the entire program forward by about two and a half to three years. So instead of having that gap, which the original program had, which, you know, we were going to kind of go into this testing phase and no production. So we would have two years of nothing. Well, that now has been filled in. So within months after aircraft number eight is delivered, you'll see aircraft number nine followed by 10, etcetera. And so that acceleration of production in and of itself gets capability out to the warfighter, gets the Army training with this tiltrotor aspect, and allows us to get to full rate production within about five to six years. So I think you're really seeing the Army lean in, and we're right there with them.
Peter Arment: Great. It's great color. I'll leave it to one. Thanks again.
Operator: Thank you. Your next question comes from the line of Kristine Liwag from Morgan Stanley. Your line is open.
Kristine Liwag: Hey. Good morning, everyone. You know, and congrats, Scott and Lisa. Lisa, you highlighted your focus on the portfolio and being deliberate about your investments. When you look at the portfolio today, do you intend to grow or prune? Where do you see incremental opportunities?
Lisa Atherton: Yeah. Thanks, Kristine. So I really don't see that management as a binary choice. I think we have to, you know, have this ongoing process. And so while I won't necessarily comment on specific assets right now, we do have to evaluate every single business against that same criteria. They have to have the returns, the cash generation, and the strategic fit for our long-term approach here. I certainly want to accelerate growth and scale in some high-quality aerospace and defense areas. But, again, that's going to have to fit with the proper evaluation and strategic alliance to what we're doing in order to make sense. So we've had really historic success with aspects like ATAC that we talked about. It was a pretty small company when we acquired it. It was focused on some fleet exercises for the Navy, and now it's expanded into the Air Force, Marines, scope with the standoff jammer and adding over $450 million of backlog. So when we look at our assets, it doesn't necessarily have to be a big bang. It's sometimes these little assets that have really great long-term potential. So we'll look at that. I think we also, as I mentioned in the priorities, have to have some vertical integration efforts. We've seen a lot of success with that as we try to control our destiny when it comes to supply chain weakness, areas like actuators, interiors, key repair components that we have to have. And I think we need to really lean in and build on that to have that resilience that we need for the long term. So and obviously, earlier in '25, we disposed of the powersports business. I think that was the exact right move. And so, you know, stated from the beginning, whether it's to grow or prune, we really have to have demonstrated performance by the business that we either are acquiring or can continue to have that performance internal to our portfolio to make sure it's relevant to the future.
Kristine Liwag: That's super helpful. And if I could, add a second question. With your history at Textron Systems, I guess Textron Systems is a disruptor in autonomous systems. And when you look at capabilities today and you have one of the broadest set of capabilities with unmanned ground, air, sea, command and control software. Now we're seeing more new players wanting to enter this autonomous space. I was wondering, can you give us the lay of the land of how to think about your offering, where you see your strengths are, and how you think this market evolves, and where Textron is differentiated versus these new players?
Lisa Atherton: Sure. I mean, look. I think one of our key differentiators is that we have decades of experience here. We know how to manufacture, with high rate, affordably, for our customer. We've seen, as I mentioned, you know, millions of hours of this across various aspects. We've got aircraft on the back of ships right now outperforming ISR capabilities. And so we know that in these austere environments, how to build products that are reliable for the warfighter. And so I think, you know, because of that history and heritage, I'm pretty bullish on our opportunities there. And as you mentioned, we've done it not only on, I'll say, smaller unmanned drones in the air, it's actually harder to do it on land and in the sea because of the terrain environment. So we've demonstrated that capability as well. So, look, I think as the government figures out the new way of warfighting, we need to be right there with our offerings, and watching these entrants as they come in. And in some cases, there might be partnerships. In some cases, it'll be head-to-head competition. But I think Textron Systems has a strong offering to maintain as a key partner to the Army, Air Force, and Marines in this.
Kristine Liwag: Thank you very much.
Operator: Your next question comes from the line of Myles Walton from Wolfe Research. Your line is open.
Myles Walton: Thanks. Good morning. Lisa, you just talked about investing in the supply chain, doing some verticalization. I guess the question I'd have on aviation is that still, do you think, your limiting function to getting to higher production rates? And where are you in that recovery of supply chain control? And maybe how much extra cost is flowing through the numbers to facilitate your deliveries as you've otherwise planned by expediting supply?
Lisa Atherton: Yeah. So productivity in aviation is certainly a key focus for us as we go into 2026. I think it's two parts, right? I mean, it is continuing recovery of the supply chain. I think in large part, and we saw this at Bell as well, the majority of it, I think we have gotten that recovery. It's still those key components that continue to be head herders. And so I think we're starting to see recovery. We're starting to see folks responding to the needs and the demands, but I mean, candidly, engines, just to call it a key component, which you have to have for these aircraft, has been a laggard for us. And we have to keep working with our partners there in order to get the engines to our aircraft. The other part, though, I think that we see is workforce. We've had a high attrition, I'll say, in the early workforce. Folks are, say, a year or two years into working with us. So the response of the team there, we created an in-house training program to upskill the talent there to create more longevity and resiliency of our workforce. And so those two pieces together are what we really have to have in order to improve the efficiency on the factory floor. And I would say that's broader than just aviation. It's also at Bell. We saw the same type of things that we need to work on and fix. So look. I would say it's both. I think the team has some good plans. And, David, I don't know if you want to add color there on whether or not we've priced that in, but I think there's good progress, and we'll hold them accountable to it.
David Rosenberg: Yeah. I'd just add. You know, if we look at 2025, you know, we certainly saw a moderate improvement in the supply chain. We earned more hours in the factory. Did we get all the efficiency and productivity we hope to get in the year? No. So there's still opportunity to drive better efficiency in the factory. So, you know, that can still be a slight headwind to our overall numbers, which, of course, are reflected in our guidance, but also represents a strong opportunity for us as we go forward. And as you see from our guidance, we do expect to be able to deliver more airplanes in 2026 than we did in 2025.
Myles Walton: Okay. Quick follow-up, Dave, on the CapEx for '26. Is that spike expected to continue beyond '26?
David Rosenberg: So as we've talked about over the last, you know, six months as acceleration to coal, essentially, we're moving about two years to the left in terms of investments. So you'll probably see the elevated level in 2026 and 2027, all driven really by the MV-75 program. Simply moving investment that would have been in 2028 and 2029 to the left.
Myles Walton: Okay. Thank you.
Operator: Your next question comes from the line of Robert Stallard from Vertical Research. Your line is open.
Robert Stallard: Thanks so much. Good morning.
Lisa Atherton: Morning.
Robert Stallard: And all the best, Scott. And congrats, Lisa. Welcome to the call. I wonder if I could ask you a couple of questions about MV-75. You've given us the additional CapEx cost or pull-forward CapEx cost you're going to see in '26 and '27, and there's this potential charge when you get the LRIP contract sorted out later this year. So what's the flip side of this? I mean, how much could revenues go up by versus previous expectations as we look out to '27, '28, '29? And what could the returns be on those revenues versus what you might have expected before? Thank you.
David Rosenberg: So, you know, I'll talk on the as we've described this program, ultimately, the opportunity is between 40 million and 60 units per year. And you can average that out, it's going to be a significant increase on the overall revenue profile of the business. And we expect that that would start rolling in later this decade, quicker than originally expected. The other point I'd make, you know, historically, in the past, Bell was a double-digit margin business. And certainly, as the program matures and we get into the initial lots of productions, our expectation would be that Bell would return to that. All these actions we're describing to you today mean that's accelerated versus where it previously would have been, which, you know, they would have taken a lot longer time this decade.
Robert Stallard: Okay. A quick follow-up, Dave. When you if you take this charge later this year, where would it leave booking margins on the MV-75 going forward? They'd like low single digit then eventually move up to those low double-digit levels.
David Rosenberg: Yeah. I mean, as you know, Robert, we're treating this as one program from a booking rate as new contract line items get awarded. If you look, for example, in 2024 when the two LUT units got awarded, that resulted in us having to do a cumulative catch-up that lowered our booking rate. Still in the low single digits margin percent. And in February '25, we had an additional point awarded that actually resulted in us raising the booking rates. Again, still in that range. So this is still in the, you know, mid-low single digits as we go forward. And each time a new contract line item is awarded, we adjust it up or down. But this isn't, you know, the first time this has happened, and you can actually see that if you look at our EACs, you know, from, you know, Q4 2024, our 2025. But the program, it's important to emphasize that the program will continue to be profitable as we go forward.
Robert Stallard: That's great. Thank you so much.
Operator: Your next question comes from the line of Seth Seifman from JPMorgan. Your line is open.
Seth Seifman: Hey. Thanks very much, and congratulations to Scott and to Lisa. Wanted to ask with even with the CapEx that you're planning for this year, you know, still have some cash to deploy. No debt due this year. It seems from the release that the share count is down a bit. How do you think about using your cash here?
Lisa Atherton: Yeah. Look. I'll start, and, Dave, if you want to pile on there. But we're going to continue to deploy that as appropriate. We're going to make sure that we do proper research and development where it makes sense across the business. And get ready, as we said, for the MV-75 acceleration, and we'll continue to share buybacks as it makes sense.
David Rosenberg: Yeah. Our expectation is we'll continue to deploy our, you know, the relatively similar percentages that we've had in the past from our free cash flow, and we're really comfortable where we are currently on a debt level, our ratios, etcetera. You know, we're good mid-triple B, and that's where we expect to continue to be.
Seth Seifman: Excellent. Very good. And then, Lisa, I've bugged Scott with this question a couple of times in the past, but just with the acceleration of the program, maybe I can ask you since you've been so close to it. How do you think about concurrency risk? With moving straight into LRIP? And, you know, what gives you kind of confidence that we won't see future charges?
Lisa Atherton: Yeah. So for we've been working on this program for fifteen years. And so with the prototype, and the over two hundred hours of flight that we had on the demonstrator, the fact that we're seeing on the digital engineering yield that we have in these programs that I mentioned, we've got parts that are already being built. We're having one hundred percent first pass yield. What that means is the parts are coming out exactly as designed. And so the fact that we're seeing that kind of performance out of the program gives me the confidence that what we build is what we designed. And so when you put that through test, I mean, certainly, we'll discover some things, but I mean, I think there's we have high confidence that we have wrung out a lot of the concerns that you might have seen in older generation type development programs.
Seth Seifman: That's very helpful. Thanks.
Operator: Your next question comes from the line of Noah Poponak from Goldman Sachs. Your line is open.
Noah Poponak: Hey, good morning, everyone, and congrats, Scott and Lisa. And Scott, thanks for all the time you spent with us over the years.
Scott Donnelly: Thank you.
Noah Poponak: I was hoping to talk more about the aviation margins. You know, we see the recast taking 60 basis points out of the reported. I guess, Dave, I don't know if you could just sort of tell us what the incremental was kind of fully adjusted in '25 and in your '26 guidance. And I guess, you know, the '25 guide had been 12 to 13. If we take the 60 basis points out of that, you know, the guidance for '26 is flat to down, I guess. So are we just recasting the aviation margin, or are we also resetting the aviation margin expectation for some reason?
David Rosenberg: No. We're certainly just recasting. I mean, I think, you know, if you look about you're correct. We guided last year at 12 to 13% and ended up slightly below that. I mean, I think that's largely around the volume story. While we did have higher volume year over year, we ended up with a little less volume than we expected. But, I mean, as you go forward, if you look at our incrementals this year, you know, depending on where you end up in the range. I mean, we're probably between, you know, 15 to 20%. We've often said that this business should have incrementals of 20 to 25%, and that view has not changed. You know, I think the key to just us getting there is continuing to have efficiency and productivity improvements in the factory that will drive higher volume. And of course, where we've established the market over the last five years, you know, pricing remains solid. So that business should continue to convert at 20 to 25%. And, also, I should mention with a very strong aftermarket business. We grew 6% last year. We expect to grow 6% this year. So it's certainly not, you know, a restatement of what we expect margins to be. You know, we feel comfortable where we're at and plan to continue to grow the business as we go forward.
Noah Poponak: Okay. And then, Dave, you've talked about holding Bell EBIT flat as you ramp MV-75 and grow revenue, but work through the margin. With what you're telling us today, on the LRIP, and once you take the charge, is that still the view? Or do we think about that differently?
David Rosenberg: That's still the view.
Noah Poponak: Okay. So this year, you're growing revenue in the guidance is for the margin to be flat. So that would grow EBIT a bit more before then eventually going back up? Therefore, that implies the margin still goes down a little.
David Rosenberg: I mean, we're going to be probably going to be in a relatively steady state over the next couple of years, and then, you know, you'll with the acceleration, you'll start seeing more of the benefit of that. But I think I view this as a relatively steady state, which is consistent with the message we've been sharing.
Noah Poponak: Okay. Alright. Thanks a lot.
Operator: Your next question comes from the line of John Godin from Citi. Your line is open.
John Godin: Hey, thanks for taking my question. Lisa, I wanted to just sort of brainstorm, you know, the world of a much bigger budget, not necessarily $1.5 trillion but obviously kind of those sound bites are out there. What I'm trying to think through is, you know, between Bell and systems, by the math, you guys have a lot of defense exposure. But more specifically, where do you think the points of leverage would be to the upside? In a world where the budget was much higher?
Lisa Atherton: Look. I think what you see is what the Department of War is trying to prepare for. I mean, we have aspects of our business across all of that. So particularly around the Sentinel program and what our team is doing at Systems, around hypersonics and the thermal protective materials. I think there's points of leverage there. With their emphasis on the XM-30 and the Marine Corps' Armed Reconnaissance Vehicle and where those programs are in terms of their development, I certainly think there's opportunity for growth and acceleration in those programs. And then as we've stated multiple times already, with the MV-75 and their continued push quickly into full rate production. And so that along with the Ship to Shore program will be steady. I mean, we're producing those really about 15 through a program of record of 73. And so there's just, I'll say, foundation and solid support for these programs across all of our defense portfolio.
John Godin: Got it. That's very helpful. And there was a bit of a discussion earlier about adding capabilities. In a world where the budget was higher, is that part of, you know, a guiding light for adding capabilities, accelerating growth in what you call high-quality areas of A&D? Just want to connect the dots there.
Lisa Atherton: Yeah. Sure. So, I mean, particularly around the space side of things, I think the Department of War is also kind of leaning into that, and I would like to see us move into areas of the space side of defense. Either with assets that we have or, you know, as we look to the future. So I certainly think that that is a key growth area that we need to be focused on.
John Godin: Thanks a lot. Appreciate it.
Operator: Your next question comes from the line of Gavin Parsons from UBS. Your line is open.
Gavin Parsons: Thank you. Good morning.
Lisa Atherton: Morning.
Gavin Parsons: Also, my congrats to Scott and Lisa. Business jet demand is pretty strong overall, but it does seem like large cabin maybe is the strongest segment at the moment. Is there any opportunity there to add a larger aircraft to the Cessna family?
Lisa Atherton: Yeah. Look. I think, you know, this year, we brought in three Blockpoint upgrades. And, you know, that wasn't necessarily the plan as we went into the year. I think that kind of all kind of jammed up towards the end of the year, which created a little bit of a bumpiness for us. I think our plan would be to try to do one of those at a time, and do one clean sheet at a time. And right now, the focus on the Denali and getting that entered into service is the focus for the team.
Gavin Parsons: Okay. And then if I could just dig into the industrial margins a little bit, light in '25, but expanding in '26.
David Rosenberg: Yeah. I mean, I'll take that one. I mean, I think that, you know, obviously, I think Kautex did a really good job last year, you know, despite where the market is. And have continued to see improvement in their own profitability. TSV still has some challenges, kind of where the end market is. They, you know, they've absorbed a certain level of tariffs, which has also been a headwind. But overall, we do see golf continues to be a pretty steady business. And along with their cost reduction activities that they've been continuing to do, those are kind of the combination of the two that are driving the improvement.
Gavin Parsons: Thank you.
Operator: Your next question comes from the line of Ron Epstein from Bank of America.
Ron Epstein: Hey, guys. Good morning, and congratulations, everybody. Scott, hard to believe. It's been a while. So thanks for everything.
Scott Donnelly: Thanks, Ron.
Ron Epstein: So maybe a couple of questions. Just a first one. We haven't talked about much. On the MV-75, how are you all thinking about the logistics and support for the aircraft? Because once aircraft are on the field, logistics and support can be pretty profitable. And, you know, what's the model around that? And how are you thinking about that?
Lisa Atherton: Yeah. Sure. So, you know, if we model it off what we've done with most of our programs on the military aircraft side, there's typically kind of a performance-based logistics type approach that the military works with us on. I think the Army and the approach also has been very intentional on how they have gone with their purpose rights. They want to have some organic capability themselves, so we will work with them to help them stand up that capability. Obviously, service parts repair, a lot of that will be probably stationed near where a lot of the center of their aircraft are. They're likely going to be at Fort Campbell to begin with. So look. We'll be working with them to ramp that and how those spares packages would look as they lay the program out into the various aspects of the Army. They're different than how we deal with the Marines. You know, the Marines have kind of two centers of location. The Army supports their aircraft where the Army is. And so we will have to support them in that, in a more disparate way.
Ron Epstein: Got it. Got it. Got it. And then maybe just, you know, they're going to pull something out of the garage, and you'll know what I mean in a minute. Something we should talk about a little bit and sort of faded away was Scorpion. And the reason I bring that up is not that maybe there's an immediate event for Scorpion, but you guys were ahead of the game doing something, you know, that was a lot of commercial on your own dime. And at the time, you know, the DoD dropped the ball and didn't get them. Right? And, you know, I think y'all would agree with this. I think they should've. You probably think they should've, but they didn't. Things have changed. You know? And given that you've got this awesome toolkit of a lot of commercial parts and, you know, you're doing, you know, a bunch of good military stuff and commercial stuff at Bell, a bunch of really good largely commercial, but some military Textron Aviation. Is the environment coming together for you guys to start doing something like a Scorpion or whatever again where it can be largely commercial with a military application at a cost point that's better? And, you know, is there receptivity for that? You know, was Scorpion just maybe a decade ahead of its time?
Lisa Atherton: Yeah. Like, I think that's right. I mean, I do think we were just a little bit ahead of its time. But when you look at what we're hearing in the last eight months, it echoes exactly what we tried to do with Scorpion, which was take a commercial mentality, commercial practice off-the-shelf parts, and put together a low-cost, affordable platform that is beneficial to the warfighter. And so I think because of that being a part of our DNA, I think that's something that we would lean into. We do that, frankly, now with some of our aircraft at Textron Aviation Defense and inside of Bell. We have military Bell commercial aircraft that go into certain special missions around the globe. But as we look to where the government currently is leading us with this, you know, I'll say their new arsenal of freedom, it's what they've titled that as, where we have aspects that we can lean into that, we certainly will. I think that's what they've asked of us, and I think we're well-positioned to do that.
Ron Epstein: Got it. Got it. And then sorry. Just one last one quickly. Could there be a new life for Scorpion? I mean, you know, the role that you built it for is still out there. Right? Just saying.
Lisa Atherton: Yeah. I haven't heard of it yet, but, you know, certainly, if it comes out, you guys will be the first to hear about it because we'll be talking about it. But I think there's Yeah. So but, look, I agree with the sentiment. Right? There is opportunity here, and we are positioned as a company that knows how to respond to that.
Ron Epstein: Cool. Alright. Thank you very much, and congratulations.
Lisa Atherton: Thank you.
Operator: And that concludes our question and answer session and also concludes today's conference call. An audio replay will be available approximately two hours following the conclusion of this call. To access the replay, please dial +1 807702030 and enter conference ID, 6969175 and press the pound key. Thank you for your participation. You may now disconnect.